Operator: Good afternoon, and thank you for standing by. Welcome to the Eastman Kodak First Quarter 2023 Earnings Conference Call. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to Anthony Redding. Please go ahead.
Anthony Redding: Thank you, and good afternoon, everyone. I am Anthony Redding, Eastman Kodak Company's Chief Compliance Officer. Welcome to Kodak's First Quarter 2023 Earnings Call. At 04:15 p.m. this afternoon, Kodak filed its Form 10-Q and issued its release on financial results for the first quarter of 2023. You may access the presentation and webcast for today's call on our Investor Center at investor.kodak.com. During today's call, we will be making certain forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. All forward-looking statements are based upon Kodak's expectations and various assumptions. Future events or results may differ from those anticipated or expressed in the forward-looking statements. Important factors that could cause actual events or results to differ materially from these forward-looking statements include, among others, the risks, uncertainties and other factors described in more detail in Kodak's filings with the U.S. Securities and Exchange Commission from time to time. There may be other factors that may cause Kodak's actual results to differ materially from the forward-looking statements. All forward-looking statements attributable to Kodak or persons acting on its behalf apply only as of the date of this presentation and are expressly qualified in their entirety by the cautionary statements included or referenced in this presentation. Kodak undertakes no obligation to update or revise forward-looking statements to reflect events or circumstances that arise after the date made or to reflect the occurrence of unanticipated events. In addition, the release just issued and the presentation provided contains certain measures that are deemed non-GAAP measures. Reconciliations to the most directly comparable GAAP measures have been provided with the release and within the presentation on our website in our Investor Center at investor.kodak.com. Speakers on today's call are Jim Continenza, Kodak's Executive Chairman and Chief Executive Officer; and Dave Bullwinkle, Chief Financial Officer of Eastman Kodak. We will not be holding a formal Q&A during today's call. As always, the Investor Relations team is available for follow-up. I will now turn the call over to Jim Continenza. Thank you.
Jim Continenza: Welcome, everyone. Thank you for joining the first quarter 2023 investor call for Kodak. Turning to Slide 5. I am pleased with the improvement reported in the company's results for the first quarter 2023. We continued to build momentum, generating smart revenues and cash and improving our gross profit in an extremely challenging business environment. It is important to note that the progress we have made didn't happen overnight. It is the result of investing and executing on our long-term plan, staying focused on our core competencies of advanced materials and print. Over the last 4 years, we've innovated and built a foundation for growth and profitability. We have strengthened our financial position and focused on driving smart revenue in our core businesses by realizing the value of our offerings, the successful implementation of this strategy allows us to continue investing and monetizing our new growth initiatives. We continue to invest in previously announced long-term growth initiatives, in our Advanced Materials and Chemical Group, including layering and coding substrates for EV batteries and energy storage and the controlled introduction of our KODALUX light-blocking fabric business. We are starting to see revenue for the businesses. In addition, we continue to see growing demand in our film business. We have invested in a significant infrastructure upgrade including full implementation of Salesforce and our SAP ERP system that has made us materially better in terms of efficiency and reporting. We must be as efficient as possible to eliminate always and increase our productivity to meet our customers' needs and stay profitable in challenging environments. We continue to invest in our core print business, especially digital print. We have launched 2 groundbreaking inkjet presses, the PROSPER Ultra 520 Press, which rivals offset our quality and productivity and the PROSPER 7000 Turbo Press, which is the world's fastest inset press. In addition, we have launched our PhotoChrome Inkjet Inks, which are the gold standard for color for many decades. You will hear more next quarter about the rollout strategy of these products, which is designed to maximize productivity and value for our customers. Most importantly, we continue to execute on our go-to-market strategy staying focused on our customers and developing solutions that address their challenges and create new opportunities. We put our customers first because we win only when they win. Turning to Slide 6. performance highlights for the first quarter include: revenues were $278 million, a decline of $12 million or 4% compared to the prior year adjusting for unfavorable impact of foreign exchange of $10 million, revenues decreased by $2 million or roughly flat. Revenue was slightly impacted also by our decision to suspend manufacturing and sales of our EPS line due to increased cost and supply chain issues. This decision does not in any way affect our ability or commitment to continue to service all existing EPS presses in the field. There was a trade-off here. We increased our gross profit by $17 million or 52% as we increase the efficiency in our supply chain and our operations. We continue to focus on smart revenue over growth goal. What does that mean? We focus on things that fall within our core competencies and things that we can execute better than others. And we know that we could do a good job for our customers and help them achieve greater profitability. Our gross profit percentage was 18% in quarter 1, 2023, compared to 11% in the prior year quarter, which is partially attributable to the investment we've made in infrastructure and streamlining our operations. I'm proud to say, as a result of our execution and a lot of hard work by the team, Kodak has generated $8 million of cash in the first quarter 2023, compared to a decrease of $53 million in the first quarter of 2022. These improvements are encouraging, but we understand that we are not out of the woods, we have a lot of work still to do in these very difficult times. We intend to continue to execute our strategic plan with the goal of driving smart revenue in the near term and sustainable profitable growth in the future. I will now turn it over to Dave to discuss the first quarter 2023 financial results.
Dave Bullwinkle: Thanks, Jim, and good afternoon. This afternoon, the company filed its Form 10-Q for the quarter ending March 31, 2023, with the SEC. As always, I recommend you read this filing in its entirety. Before I get into the details for the quarter, I would like to comment on a financing transaction that occurred in the first quarter of 2023. As previously discussed, from February 26, 2024 to June 12, 2024. At a requirement to maintain daily minimum liquidity of $50 million in addition to maintain the existing quarterly minimum liquidity of $80 million and provide that upon the original maturity date of the amended ABL credit agreement on February 26, 2024, decreased the aggregate amount of commitments from $90 million to $81 million. This extension provides us with more flexibility and additional time to implement a longer-term solution to our capital structure, given the macroeconomic conditions. Additionally, as disclosed in our Form 10-Q, Kodak changed its organizational structure during the first quarter of 2023 to combine the Traditional Printing segment and the Digital Printing segment into one segment named the Print segment. No changes were made to Kodak's other segments. As a result of this change, Kodak now has 3 reportable segments: Print, Advanced Materials and Chemicals and Brand. The Print segment is comprised of 5 lines of business: Prepress Solutions business, the Prosper business, the software business, the Electrophotographic Printing Solutions business and the VERSAMARK business. The Advanced Materials & Chemicals segment is comprised of 3 lines of business: industrial film and chemicals, motion picture and Advanced Materials & Functional printing. The brand segment contains the brand licensing business. All other is comprised of the operations of Eastman Business Park. I will now share details on the full company results, operational EBITDA and cash flow results for the first quarter. Turning to Slide 7. As we reported in our earnings release for the first quarter of 2023, we reported revenues of $278 million compared to $290 million in the prior year quarter for a decline of $12 million or 4%. On a constant currency basis, revenue declined by $2 million or 1% compared to the prior year quarter, basically flat in revenue year-over-year. As Jim mentioned, pricing, cost reductions and customer-focused initiatives continue to be a priority for the company, and we continue to recognize the significant improvements in profitability as a result of the culmination of these initiatives. We continue to recognize improvements in gross profit with an increase of $17 million or 52% when compared to the prior year quarter. Excluding the unfavorable impact of foreign exchange, gross profit improved $19 million or 58% when compared to the prior year quarter. Our gross profit percentage was 18% in Q1 2023, compared to 11% in the prior year quarter. This improvement is a result of the many actions our team has taken to mitigate the effects of the global economy to make our operations more efficient as well as implementing pricing actions. On a U.S. GAAP basis, we reported net income of $33 million for the first quarter compared to a net loss of $3 million in the prior year quarter, an increase of $36 million. Contributing to this increase is $10 million of income from insurance reimbursement of legal expenses incurred in prior periods. The 2023 and 2022 first quarter results include expense of $1 million and $3 million, respectively, related to changes in the fair value of embedded derivative liabilities and expense of $1 million and income of $4 million, respectively, related to noncash changes in workers' compensation and employee benefit reserves. The first quarter of 2023, also includes income of $9 million related to a refund from a non-U.S. governmental authority. Excluding these current and prior year items, income for 2023 was $26 million compared to a loss of $4 million in the prior year quarter, reflecting an increase of $30 million. Operational EBITDA for the quarter was a positive $9 million compared to a negative $7 million in the prior year quarter, an increase of $16 million or 229%. Excluding the impact of noncash changes in workers' compensation and employee benefit reserves in both the current and prior year and the unfavorable impact of foreign exchange in the current year, operational EBITDA increased $22 million or 200% from the prior year quarter. Operational EBITDA for the first quarter of 2023 was favorably impacted by improved profitability related to pricing actions and improved operational efficiency, partially offset by higher continued ongoing global cost increases. During the first quarter, volumes for SONORA Process Free Plates declined by 14% or 12% when including volume pursuant to a licensing agreement under which Kodak receives royalties and the annuity revenue for PROSPER declined by 6%. On a constant currency basis, Prosper annuity revenue declined by 1%. As Jim mentioned, we have focused on key innovations in our Print business to deliver new products that our customers need to drive their businesses forward. Moving on to the company cash performance presented on Slide 8. The company ended the first quarter with $225 million in cash and cash equivalents, an increase of $8 million in the first quarter of 2023, compared to the decrease of $53 million in the first quarter of 2022. This is the second consecutive quarter that the company has increased its cash balance. Cash provided by operating activities was $14 million, driven primarily by cash flow from net earnings of $11 million and cash flow from balance sheet changes of $3 million, including a change in working capital of $2 million, a decrease in miscellaneous receivables of $7 million and a decrease in other liabilities of $13 million. Within working capital, accounts payable increased by $3 million, inventory increased by $13 million, and accounts receivable decreased by $12 million as compared to December 31, 2022. Cash used in investing activities was $5 million in the first quarter, flat when compared to the prior year period. Cash used in financing activities was $1 million for the quarter, also flat when compared to the prior year period. Restricted cash at the end of the quarter was $69 million, flat when compared to December 31, 2022. Restricted cash primarily represents cash collateral required under the new letter of credit facility and certain aluminum supply contracts in addition to escrows to secure various ongoing obligations. As presented on the bottom portion of the slide, excluding the current year impact of a refund from a non-U.S. governmental authority, the company delivered a $52 million print in cash flow in the first quarter of 2023, compared to the prior year. Finally, we remain compliance with all applicable financial covenants. I will now turn the discussion back to Jim.
Jim Continenza: In summary, delivering strong performance in the first quarter, generating cash, increasing profitability while continuing to invest in our future despite the challenges of an extremely difficult business environment with a lot of uncertainty, our performance reflected the success of actions we have taken over the last 4 years, which are creating a strong foundation that allow us to continue to innovate, invest and grow. We will continue to invest in our Print businesses and our AMC growth initiatives. We will continue to put our customers first delivering the solutions they need to thrive in this evolving print market, driving the efficiency improvements they expect. Our goal is to build on our positive momentum we have created, partner with our customers, deliver innovation and execute on our plan. Thank you for attending the call and your continued interest in Eastman Kodak. Have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.
End of Q&A: